Operator: Good afternoon, and welcome to today's conference call. Before we get started, I would like to remind everyone that some of the statements that we will be making today are forward-looking in nature and involve risks and uncertainties. Actual results may vary significantly from those statements and may be affected by the risks we've identified in today's press release and those identified in our filings with the SEC, including our most recent Form 10-K filed February 17, 2023. The Equinix assumes no obligation and does not intend to update or comment on forward-looking statements made on this call. In addition, in light of Regulation Fair Disclosure, it is Equinix's policy not to comment on its financial guidance during the quarter unless it's done through an explicit public disclosure. In addition, we will provide non-GAAP measures on today's conference call. We provide a reconciliation of those measures to the most directly comparable GAAP measures and a list of the reasons why the company uses these measures in today's press release on the Equinix Investor Relations page at www.equinix.com. We've made available on the IR page of our website a presentation designed to accompany this discussion, along with certain supplemental financial information and other data. We would also like to remind you that we post important information about Equinix on the IR page from time to time and encourage you to check our website regularly for the most current available information. With us today are Charles Meyers, Equinix's CEO and President; and Keith Taylor, Chief Financial Officer. Following our prepared remarks, we'll be taking questions from sell-side analysts. In the interest of wrapping this call up in one hour, we'd like to ask these analysts to limit any follow-on questions to one. At this time, I'll turn the call over to Charles.
Charles Meyers: Thank you, Chip. Good afternoon, and welcome to our first quarter earnings call. We had a strong start to the year, delivering quarterly revenues right at $2 billion with adjusted EBITDA and AFFO above the top end of our expectations. Despite a challenging macro environment, customers remain committed to their digital transformation journeys, driving 4,000 deals in the quarter across more than 3,000 customers, highlighting the scale and diversity of our go-to-market engine and the broad-based demand that continues to propel the business. We continue to see enterprises and service providers build out their IT infrastructure on Platform Equinix. And that infrastructure is more distributed, more cloud connected and more hybrid than ever before. And while some customers are appropriately cautious about the timing of their investments given macro conditions, Equinix continues to be a critical partner in their efforts to advance hybrid architectures, unlock digital performance gains and optimize cloud and network spend. As a result, our deal win rates remain steady compared to historical trends, and we continue to see a robust pricing environment across all three regions. Turning to power. We're very pleased with how the organization has navigated a volatile energy market and we remain in a strong position, significantly mitigating the impacts of this volatility for our business and for our customers. As previously discussed, we raised pricing in January to more than 7,000 customers across 16 countries, generating approximately $90 million of incremental revenue in the quarter, fully offsetting the impact of higher power costs. Thanks to timely and transparent communications, concessions and disputes are low and our days of sales outstanding remain in line with historical trends. On the sustainability front, we are committed to responsible growth and continue to advance our bold future first sustainability agenda. Sustainability is increasingly becoming a board-level issue and Gartner estimates that by 2026, 75% of organizations will seek to increase business with IT vendors that have demonstrable sustainability goals and timelines, and we'll seek to replace those who don't. We recently published our eighth annual CSR report. And in 2022, we extended our industry leadership with 96% renewable energy coverage, making our fifth consecutive year with over 90% coverage. We're also progressing well on our science-based targets with a 23% reduction in operational emissions across Scope 1 and Scope 2 from our 2019 baseline. Additionally, Equinix continues to evolve its power procurement portfolio to increase the quality of its renewable energy purchases. This year, we signed new long-term power purchase agreements for solar projects in Spain totaling 345 megawatts of capacity, bringing Equinix's contracted renewable energy PPA portfolio to 715 megawatts globally once fully operational. Looking forward, where feasible, we'll continue to prioritize projects that create new sources of clean energy directly in the grids where we operate and support a healthy renewable energy coverage mix. Turning to our results. As depicted on Slide 3, revenues for Q1 were $2 billion, up 16% year-over-year, driven by strong recurring revenue growth. Adjusted EBITDA was up 18% year-over-year, and AFFO was better than our expectations due to strong operating performance. These growth rates are all on a normalized and constant currency basis. Our unmatched scale and reach continues to differentiate our data center services portfolio and the tremendous strength of our balance sheet positions us to sustain our investment in new capacity to support a robust demand environment. We currently have 50 major projects underway across 37 metros in 25 countries, including 10x scale projects that will deliver more than 90 megawatts of capacity once opened. This quarter, we added new data center builds in Lagos, Frankfurt and Rio de Janeiro. Revenues from multi-region and three region customers increased 1% quarter-over-quarter to an impressive 76% and 65%, respectively. Key multi-region wins in the quarter included a Fortune 500 manufacturing conglomerate, expanding its Performance Hub deployments across all three regions to assist with a business unit divestiture and in Cloud Native Zero Trust cybersecurity company using Equinix Metal to expand its business across all three regions. Our platform remains the logical point of Nexus for hybrid and multi-cloud deployments and hyperscalers continue to look to Equinix as a critical infrastructure provider and a valued go-to-market partner. This quarter, we won five new cloud on-ramps across Milan, Mumbai, Muscat, Tokyo and Warsaw as we continue to enjoy a strong leadership position in multi-cloud connectivity compared to our closest competitors. We're also seeing the unique breadth of our product portfolio across retail colo, interconnection services, xScale and digital services resonate strongly with customers as they embrace rapidly emerging opportunities in AI. We've closed several key AI wins over the past few quarters and are seeing a growing pipeline of new opportunities directly and with key partners for both training and inference use cases that benefit from the unique performance characteristics and multi-cloud proximity of our platform. In our xScale portfolio, we continue to see strong overall demand. In Q1, we pre-leased our entire Frankfurt 16 asset representing 14 megawatts of capacity taking us to over 75% leased or pre-leased across our nearly 260 megawatts of operational and announced xScale facilities. And we have a strong funnel of additional xScale opportunities in the coming quarters. Enterprise to cloud wins this quarter included a leading consumer products company leveraging Equinix’s robust ecosystems for their private multi-cloud connectivity needs and the Hearst Corporation, a diversified media company deploying on platform Equinix to execute its cloud first strategy, including the deployment of network edge for their network aggregation. Turning to our industry leading interconnection business, we now have over 452,000 total interconnections on our platform. In Q1, interconnection revenue stepped up 12% year-over-year on a normalized and constant currency basis. And we added an incremental 5,300 interconnections for the quarter. We saw some continued grooming activity and consolidation into higher bandwidth BCs on Fabric, but both moderated from the prior quarter. While gross ads remain strong, pricing is firm and the diversity of our customer interconnection continues to expand.  As global data volumes continue to accelerate, internet exchange saw peak traffic up 3% quarter-over-quarter and 26% year-over-year to greater than 30 terabits per second for the first time. And as enterprises continue to embrace hybrid and multi-cloud as their architecture of choice, they're increasingly seeking the security performance and convenience of Equinix Fabric to connect to their choice of cloud and IT services across the broader digital ecosystem. One example is Cisco whose multiple edge delivered services now rank among the leading end destinations on Fabric. Customer wins included Caixa, Brazil's federal financial services company partnering with Equinix to accelerate its business by optimizing and securing its network core via Fabric. We also continue to enhance our platform with our digital services portfolio and saw a strong new user growth for our Equinix Metal offering as we cultivate product like growth. Wins this quarter included a Japanese video game company utilizing Equinix Metal in all three regions to support a new product launch and restack an Australian SaaS integrator and managed services provider utilizing Equinix Fabric and our edge services to optimize their solution offerings. Our channel program delivered another strong quarter accounting for roughly 35% of bookings and 60% of new logos. Wins were across a wide range of industry verticals and digital first-use cases with strong engagement across the hyperscalers and continued momentum with partners like AT&T, Dell, Cisco, HPE, Orange business and Zenlayer. Key wins included a digital modernization win with Entel, our largest local partner in Chile, on behalf of Empresa Nacional [indiscernible] at Chile and oil and gas company. Entel is delivering a fully managed SDYM [ph] solution based upon Cisco technology while leveraging Equinix data center and interconnection services demonstrating how local partners can help deliver value to clients in new Equinix markets. Now let me turn the call over to Keith and cover the results for the quarter.
Keith Taylor: Thanks Charles, and good afternoon to everyone. As highlighted by Charles, we had an outstanding start to the year. As you can see from our financial results, the team delivered on multiple fronts in the quarter. We had record net bookings including power price increases. Excluding those prior price increases, our net bookings performance was solid. The result of, again, net positive pricing actions across each of our regions and lower MRR churn. Global MRR per cabinet yield increase by $124 per cabinet on an as reported basis are about $27 per cabinet adjusting per prior price increases another one-offs. And as we highlighted on the last earnings call, we completed our efforts to strengthen our balance sheet raising both debt and equity in the quarter and remain well funded to meet our future growth expectations. Now, as you would expect, despite the continued strength of our business, we remain highly focused on the broader market dynamics. But as we've stated before, during periods of disruption, Equinix thrives given our high quality and diverse set of customers who view Equinix as a mission critical partner to place their ecosystem driven digital infrastructure, whether it be a cloud on-ramp, a networking node, a cable landing station, or a trading platform. I do remember 90% of our quarterly bookings come from those existing customers as they expand their current environment or maybe move to more markets or simply buy more services. Finally, our strong liquidity position, low dividend, AFFO payout ratio and reduce debt leverage allows us to continue to invest to expand our product portfolio and expand our global footprint in both cases driving top line growth. Simply put, we're in a strong, fully funded financial position allowing us to meet all of our capital meets while maintaining the strategic and operational flexibility we need to grow and scale the business.  Now let me cover the highlights from the quarter. Know that all comments in this section are on an normalizing constant currency basis. As depicted on a Slide 4 , global Q1 revenues were $1.998 billion, up 16% over the same quarter last year, and above the top end of our guidance range due to strong recurring revenues and the timing of xScale non-recurring fees. As we've noted before, non-recurring revenues, particularly those revenues attributed to our xScale business and custom installation works are inherently lumpy and given the momentum we're seeing in our xScale business across all three regions. Non-recurring revenues could fluctuate meaningfully over the next three quarters of the year.  Q1 revenues net of our FX hedges included a $2 million tailwind when compared to our prior guidance range due to our weaker U.S. dollar in the quarter. Global Q1 adjusted EBITDA was $944 million or 47% of our revenues up 18% over the same quarter last year, and again above the top end of our guidance range due to strong operating performance including flat quarter-by-quarter SG&A spent. As expected, Q1 adjusted EBITDA benefited from lower seasonal power consumption and favorable energy hedge rates, which will reset higher starting in Q2 as anticipated, resulting in increased net utility spend over the next three quarters of the year. Q1 adjusted EBITDA, net of our FX hedges included a $2 million FX benefit when compared to our prior guidance rates and $5 million of integration costs. Global Q1 AFFO was $802 million, above our expectations due to strong business performance, including lower net interest expense and income taxes. As expected, we had seasonally lower recurring CapEx spend consistent with prior years. Q1 AFFO included a $2 million FX benefit when compared to our prior guidance rates. Global Q1 MRR term was 2%, a continued reflection of our disciplined sales strategy. For the full year, we expect MRR churn to average at the low end of 2% to 2.5% of our quarterly range. Turning to our regional highlights, whose full results are covered on Slides 5 through 7. On a year-over-year normalized basis, EMEA was our fastest-growing region at 28% due to our significant power increases. Excluding the benefit attributed to those price increases, EMEA growth was 14%. Our APAC and Americas region growth rates were 15% and 9%, respectively. The Americas region had another solid quarter with strong performance from our public sector team and continued favorable pricing trends. We saw strong momentum in our Chicago, Culpeper, Seattle metros and a Brazilian business. Our EMEA business delivered a great quarter, successfully executing on our price increase program while also seeing lower-than-expected MRR churn. In the quarter, we saw bookings strength in our Amsterdam, Dublin and Manchester metros. And finally, the Asia Pacific region had a solid quarter led by our Mumbai, Tokyo and Singapore markets with strong new logo additions and firm pricing. Now while Singapore remains capacity constrained as part of our IBX optimization efforts, we continue to proactively negotiate with certain customers with larger deployments to recover capacity which we anticipate to be backfilled at much higher rates, although it could affect our in-quarter MRR churn and net CapEx billing metric. And now looking at the capital structure, please refer to Slide 8. Our balance sheet increased to approximately $31.3 billion, including an unrestricted cash balance of $2.6 billion. Our cash balance increased quarter-over-quarter due to strong operating cash flow while we also raised approximately $580 million of yen-denominated debt and closed at the prior year's forward sales from our ATM program. Our net leverage remains low at 3.4 times our adjusted EBITDA with 96% of our outstanding debt being fixed with no near-term maturities. Given the global nature of our business, we continue to look to raise additional debt capital and reduce rate countries where we intend to expand, creating both incremental debt capital to fund our growth and placing natural hedges into these markets. Turning to Slide 9. For the quarter, capital expenditures were $530 million, including seasonally lower recurring CapEx of $22 million. Since our last earnings call, we opened four retail projects in Frankfurt, Paris, Singapore and Sydney. We also purchased land for development in Calgary and Madrid. Revenues from owned assets were 63% of our recurring revenues for the quarter. Our capital investments delivered strong returns, as shown on Slide 10, are now 171 stabilized assets increased revenues by 11% year-over-year on a constant currency basis. Taking out the benefit attributed to power price increases, stabilized assets increased 7% year-over-year. Consistent with prior years, in Q1, we completed the annual refresh of our IBX categorization exercise. Our stabilized asset count increased by a net 13 IBXs. Now stabilized assets are collectively 85% utilized and generate a 27% cash-on-cash return on the gross PP&E invested. And finally, please refer to Slides 11 through 15 for our updated summary of 2023 guidance and bridges. Do note, all growth rates are on a normalized and constant currency basis. For the full year, we're raising our revenue guidance by $30 million and adjusted EBITDA guidance by $20 million, primarily due to favorable FX rates and lower integration costs. This guidance implies a revenue growth rate of 14% to 15%, inclusive of power price increases or 9% to 10%, excluding the power cost pass-through and adjusted EBITDA margins of 45%, excluding integration costs. We now expect to incur $33 million of integration costs in 2023. And we're raising 2023 AFFO [ph] guidance by $44 million to now grow between 10% and 13% compared to the previous year, and AFFO per share is now expected to grow 8% to 11%. 2023 CapEx is expected to range between $2.7 billion and $2.9 billion, including approximately $150 million of on-balance sheet xScale spend, which we expect to be reimbursed as we transfer assets into the JVs of about $205 million of recurring CapEx spend. So let me stop here. I'm going to turn the call back to Charles.
Charles Meyers: Thanks, Keith. In closing, we had a solid start to the year. While we remain vigilant to the challenges in the broader macro economy. Our Q1 results were strong and our outlook remains positive with the overall demand for digital transformation, fueling our conviction around the long-term secular drivers of our business. We look forward to our upcoming Analyst Day in June where we will further outline the significant opportunity ahead and discuss our strongly differentiated position in capturing this opportunity as we enable our customers to access all the right places, partners and possibilities. We also look forward to diving more deeply into our evolving platform capabilities, our industry-leading go-to-market engine and sharing expectations of how all of this will translate into durable and differentiated value creation for our investors, our customers and the communities in which we operate. So let me stop there and open it up for questions.
Operator: Thank you. [Operator Instructions] Our first caller is Matt Niknam with Deutsche Bank. You may go ahead. 
Matt Niknam: Hey guys. Thanks for taking the questions. Just two quick ones, if I could. First, on bookings trends. Can you comment at all in terms of linearity and whether you saw any potential slowdown going to some of the macro choppiness that really picked up in March. We've heard maybe a similar theme from some others across tech. And then just the second one on cap allocation, specifically just related to potential inorganic opportunities. Just wondering what you're seeing in terms of opportunities both domestically and abroad whether seller expectations have become more reasonable just in the context of leverage now sitting just shy of 3.5 turns. Thanks. 
Charles Meyers: Thanks, Matt. Yes. Look, I think overall, as we said in the script, I think we continue to feel good about the demand level. I think definitely, customers are feeling tighter budgets, looking to stretch their dollars. But I think their commitment to digital is strong. And I think how they're using us in terms of looking to capture savings in a variety of areas. And again, long-term digital transformation equipments are driving pretty solid activity levels. So I think the overall, we did about 4,000 deals in the quarter of 3,000 customers, very much in line with kind of what we've done in prior quarters. Linearity was pretty good. And so we probably saw a few more deals slip into the following quarter than we would have in previous quarters. And then on sales cycle, just to give you more of a concrete data point to hang your hat on, we usually see about 45% - I'm sorry, about 40% of our deals extend beyond the 90-day sales cycle. And that rose in this last quarter to about 45%. So a little bit of an increase, but not particularly material. And as we saw a little bit of slippage, actually our linearity in Q2 is already looking pretty good. So we started with a little bit richer funnel and so we're off to a good start in Q2. So again, I think that clearly, you're feeling a little bit of caution in the macro market, but overall, I think in terms of what people are – how they're thinking about digital, how they're thinking about Equinix in that context, we continue to see a pretty good overall environment. Relative to your second question on capital allocation, look, our balance sheet, thanks to our team's efforts, is in a really good place. And as I've said in a number of settings, I do think there's going to be opportunities for us, both organically and inorganic, I don't think we're starting to see, I think, some softening in multiples. And I think that's likely to continue depending on kind of overall sort of recessionary sort of dynamics and that kind of thing. And so we'll keep an eye on that. I do think as a market leader and we've got a long track record of being able to unlock value from M&A, and we're definitely positioned to do that if the right things come along. And so I do think that we probably expect some capital allocation towards that. And I think our balance sheet puts us in a really good position. Keith, anything to add there?
Keith Taylor: Yes, Matt, if I can just maybe add a couple of quick points to what Charles said. The other part about the leverage being a little bit lower than we typically run at it, part just because of the money that we raised and the opportunity we sort of went for us to go into the market and draw on some – particularly on the debt capital in Japan, that put more cash on our balance sheet. And so that cash is going to get consumed, but one of the things I wanted to certainly you and the rest of the listeners to walk away with is that we do have the cash. We have the flexibility both operationally and structurally, but we're going to consume the cash. And in many ways, we're paying today for one, we're fully funded for all that we see, but you look forward in time and say, well, what are we going to do in 2024 and what are we going to do in 2025. And so you're already – we're already thinking ahead and hence my comments that we want to continue to raise capital because we know our dividend, our dividend is going to grow. We know we're going to continue to spend capital and the like. And we want to have that flexibility that Charles sort of alludes to when things shake themselves free, if it makes sense for us, then we would certainly strike, and we need a good strong balance sheet. All that said, at the end of the day, we're going to consume the cash, we're going to consume it into our growth cycles. And our leverage is actually going to go up because we're measuring it on a net debt basis. And again, I just think we all like the flexibility and the liquidity we have as a company, and we can use that to our fullest advantage going forward.
Matt Niknam: That’s great. Thank you both. 
Keith Taylor: Thanks, Matt. 
Operator: Our next caller is Jon Atkin with RBC. You may go ahead. 
Jon Atkin: Thanks. Got a couple of questions. One on Slide 10, where you have the stabilized growth, 11% top line. I think that's a record. And I just wanted to get a sense as to what was driving that and then another metrics question, just the Americas cabinet equivalents actually was down sequentially and MRR gift [ph] to bid in APAC and in EMEA, the cabinets billing number didn't grow at all, the footnote referenced timing of installs and churn and I wonder if you can kind of drill down on that a bit. Thanks. 
Charles Meyers: Yes. Great question, Jon. So on stabilized growth, obviously, incredible results fueled, obviously, in part by PPI on the power price increase. So 11% is definitely really high. If you take out the effects of power price increase, that still takes you down to about 7%, so really attractive. And if you take out the new stabilized assets, which are obviously less mature and probably growing faster than others, take – we take it down to about 5% from the previous sort of portfolio of stabilized assets. So that's still at the high end of the 3% to 5% that we've been talking about. But this is pretty typical of the dynamic as you very well know, when you add in sort of a new set of stabilized assets sort of [indiscernible] the growth a little bit up. And then as you increase utilization and sort of tap out that growth, it might tend to sort of come back down a little bit. And then ROIC goes a little bit in the opposite direction. It's sort of impaired by the fact that these are less mature, but then I think we would tend to rise back. And so overall, we feel really good about stabilized assets. And I think they are a reflection of the strength of the business model. Billable cabs, yes, for sure, definitely good solid quarter in Americas. APAC is coming off a really strong quarter last quarter and so it was flat this one, EMEA actually had sort of no meaningful adds the last couple of quarters. And I know that creates a little sort of mental distance for people to see a couple of quarters without billable cabs. But I think it's important to remember that really the dynamics of the business as such. In EMEA, actually, if you look at eight quarter, 12 quarter trend, we've actually had a lot of strength there in terms of cabinet adds and you get into a situation where essentially you start seeing high utilization rates in certain markets Therefore, you're probably going to see a little less large footprint and then you actually start sort of a cycle of looking for good churn to try to make room. And that kind of – can lead to some flat spots, I think, from billable caps. But we always encourage people to really look at a longer-term trend. We clearly will grow can will and need to grow billable cabs across all three regions. And with the size of the development pipeline that we have, that will happen. But let me give you just a data point on Europe, one of the things – this happened in Europe, and it gives – I think it's something to sort of hang your hat on and really reinforce why we talk so much about our strategy and maintaining discipline in our strategy because we could turn ourselves into cabinet fingers and that's really not what we want. And so if you look at Europe, we actually had a churn this quarter in a market that is very tight about 440 cabs. And that was – it was a pretty low dense implementation from a power density standpoint and not really well interconnected. And so we were getting a cabinet yield there well below our average. When we go to resell that, we will likely resell that in significantly more small to midsized deals than sort of one big footprint. And when you look at what's likely to happen there, we're probably going to increase the revenue and therefore, the yield per cabinet, when you get more interconnection, higher power density and a higher price point, we'll probably increase the revenue from those 440 cabs, 50% from that capacity when all is said and done. And so the significant growth with no billable – essentially zero increase in billable cabs and no incremental CapEx. And so this is why when you hear us talk constantly about right customer, right application, right assets. And that's more than just a sort of a clever thing for the earnings call. That's a way of life here in terms of how we drive our sales team. And I think that gives you kind of a good reflection. So you will see the billable cab growth, but I think right now, you're seeing good healthy growth across those because I think we're playing every lever, power density, price point, interconnection, and I think it's really driving health in the business.
Jon Atkin: And then if I can follow up on AI. You mentioned some wins there. And what are we seeing in terms of rough sizes? Are they – do they tend to be very cost connect rich or more density rich or what how you kind of qualify and characterize the AI demand you're seeing so far?
Charles Meyers: Yes. I think it's a little early to tell, but we have seen – it's interesting because ChatGPT has created a media frenzy around AI. But the reality is we've seen AI-related opportunities in our pipeline for the last several years. And for those that are familiar with the story and out on the investor circuit with us, you've heard me talk about that. And I think that most typically, it is people thinking about how to use their data and where to place their data. And what we're seeing is actually a trend towards people saying, we want to take our data and place it sort of inter cloud. We want to have control of that data. We want to intersect it with other data sources and we want to be able to move it into and out of clouds as appropriate for these things. And so we have seen some large training model training opportunities. Those are partially economically driven just it's actually cheaper to do on sort of dedicated hardware. If you have sort of a sustained commitment to doing AI training. And so we've seen some of those. And then inference deals, which I think are going to be a bit more interconnected, are where people are actually deploying inference AI inference use cases that are sort of – and I think we're going to be uniquely well suited is when insights are both, one, when data sets are dynamic and they're updated frequently, and they're taking in a lot of new data. And secondly, where insights are real-time and mission-critical. I think – and that really doesn't sort of fit the profile of the way current large language models like ChatGPT are being used. But we do think that what's going to happen is people are going to build vertically oriented sort of AI use cases on top of foundational models that are going to be sort of cloud-centric. And I think that we're going to be well suited to responding to some of those opportunities. So I think it's going to be a mix. I actually think some of the training stuff, Jonathan, is going to be more suited to our xScale portfolio. And I think some of the inference stuff is probably going to land in the retail portfolio at the digital edge. And so that's sort of the current dynamic, but early days, but I think an exciting incremental opportunity, and we're going to talk a little bit more about that at Analyst Day.
Jon Atkin: Thank you. 
Operator: The next caller is Nick Del Deo with MoffettNathanson. You may go ahead. 
Nick Del Deo: Hi, thanks for taking my questions. First, Keith, I thought some of your comments about Singapore and the opportunities to monetize that space are pretty interesting. I mean is the plan to just move those customers across the straight to Johor or some other market or are they going to be let go? How impactful do you think this might be over time and when might it your results? And are there other markets where this might come into play or is Singapore kind of unique situation?
Keith Taylor: Well, first, it dovetails nicely into what Charles was really talking about in the European theater, where you have a tight market, you make some decisions about looking to optimize the environment. And with that, sometimes customers move out some of the large deployments. As it relates specifically to Singapore, my reference was no different really than again, what Charles is talking about. But we do see an opportunity. There happens to be a larger installation related to customer. And it maybe it does move to a different market for us, and that would be fine. But the real focus is getting capacity in the Singapore market, getting a price uplift and again, going back to what Charles talked about, that we are sort of maybe with the bread crumbs that we see something that we're looking at right now that is going to be upsized. And of course, when we do that, it has an impact on the net cabinets billing. And of course, it has an impact on our churn metric. I maintain the word churn is going to be at the lower end of our range for the year. So I'm not worried about that. But this billing cab – billing cabinet metric is the 1 that we're always sort of looking at, causes us a little bit of discomfort because we know we're doing the right thing for the business and yet it presents itself maybe a little bit unfairly to us. And so – the bottom line is that's an initiative that we would embark upon. And Singapore is not the only market. Any place that we see that opportunity. And again, I will refer back to Charles' comment, but we don't need – where we can get an uplift an optimization of the asset. We don't have to put more capital to work and you're driving value into the equation. And so that's just a real good outcome for us. And if we can do that in places, we are tight and there is the demand, we'll make sure that we do it.
Charles Meyers: Yes. Nick, I'd offer a little bit more color in that saying, we have a few examples where I think we have footprints that probably would have been better suited to xScale facilities had we had them at the time that we took them that now we are sort of saying, hey, that we would really need that capacity for – to fuel the retail footprint. And obviously, in Singapore, there's a broader sort of capacity constraint concern, it's really critical that we recapture those. And so – but there are other – other markets where I think we see some of that opportunity and other markets in which some of these capacity constraints might come into play. It's also one of the reasons why I think we have to continue to lean in on sustainability. And the connection between those things is, I think, for us to make sure we're going to be in line to get the power allocations needed, the permits needed, et cetera, to continue to drive capacity in markets where jurisdictions are quite reasonably looking at how to manage their energy needs. I think it's going to be important that we are able to say, hey, we're the responsible party to partner with to continue to be a digital leader but be that in a really responsible way. So a lot of sort of interconnections between those various thoughts and threats.
Nick Del Deo: That's great. That's great. Thanks for that color. Charles, can I ask one on interconnection. You talked about how adds came back in Q1 versus Q4, still below trend, though. Can you share any updated expectations regarding when we should see that growing dynamic abate and get adds back to more normal levels?
Charles Meyers: Absolutely. Yes, as I noted, there's a few on the last call and in the script, there's a few factors that play out interconnection. Overall, one thing I'd say is traffic levels continue to be really attractive. You're seeing that in exchange. You're seeing that in terms of in fabric overall provision capacity. It's a little tougher for us to tell on physical cross-connects, exactly how much traffic is flowing because we don't – we don't like the electronics on those things. But it's fair to say that – I think what you're seeing is a trend towards significantly higher speeds to support higher and higher traffic. And by the way, I think AI is going to only add fuel to that fire. So gross adds have been strong. That's one of the things that we really look at is say, how many gross adds are there. And I think that's a primary indicator of health, and those have been very much in line with the four quarter averages. There is some grooming activity. As I said last quarter, we thought that would moderate – it did moderate to some degree, but was still there at an elevated level. I do think people are going to run out of low-hanging fruit on that one. And so I think that we'll eventually see more moderation there, and that will help the net adds further. I think this trend towards higher speeds, though is a more sustained trend. And so I think we're just going to have to look at kind of how – where things settle out. We've seen this in the past where traffic is sort of catching up to provision capacity a little bit. And so – but again, I think the long-term trend here is very high degrees of traffic flow, higher degrees of interconnection. The diversity we're seeing in the interconnection system and ecosystem is increasingly rich. So more a [indiscernible] sort of unique connections. And overall, just the strength is good. So 12% revenue growth a little lighter on the unit side. I do think we'll see some more moderation of the grooming per se, but I do think that that will be offset that we'll still see a little bit more in terms of fewer higher speed circuits. And so we'll just – we'll continue to track that. But I'll give you the punch line here. Interconnection is well north of $1 billion business for us, growing at 12% at very, very attractive returns on capital. And I think that the opportunity for us to continue to sort of lean into that and grow that business, particularly as we grow fabric. And as we think about what the bigger cloud networking opportunity looks like and what our role in it is – continues to be a big part of the Equinix story.
Nick Del Deo: All right. That’s great. Thanks guys. 
Operator: Our next caller is Simon Flannery with Morgan Stanley. You may go ahead. 
Simon Flannery: Great. Thank you very much. Good evening. I wonder if you could talk a little bit more about pricing outside of the power price increases. We certainly heard a lot on the hyperscale side of prices firming and you referenced some of the capacity constraints in the market. So what are you seeing both in xScale and then also just in your core business around the opportunities to continue to take price both on new business and on renewals. And then maybe a little bit on metal, both in terms of customer adoption and in terms of your continuing to roll out the product across your footprint? Thanks. 
Charles Meyers: Lots in there. So let me try to hit them all. So yes, pricing is definitely firm. Obviously, PPIs have gotten a lot of airtime, but I think perhaps an even more important trend is our ability to sort of sustain pricing power on sort of the broader portfolio of service offerings. And so we have elevated our costs on space, power and interconnection from a list price perspective across all our markets. And so I think you're going to see that continuing to sort of roll into the business. xScale pricing has definitely firmed in across the world. And so I think we're seeing attractive price points and good solid cash and cash returns on the product projects that we're underwriting. And as we said, we got a very high degree of pre-leasing there. And so – and again, we've raised pricing both on the retail side, space, power and on the interconnection units. So we have – and then you have the escalators and we are – our escalators are also going up. And so in some cases, we're doing CPI or other index-based escalators, but then more broadly, if we're doing fixed escalators, they are much higher than they have been in the past. And so I think we're seeing all of that roll through as a clear dynamic in the business in terms of and you're seeing it show up in MRR per cap, right? I mean, we gave you a headline stat there and keep script about how MRR per cab is increasing. Yes, a big chunk of it due to PPI. But even absent that, I think our yield per cab, which is an absolutely critical metric for us continues to rise. So – and then on metal, we talked a couple about a couple of really nice wins. We are really cultivating early users in what is more of a product-led growth motion that's probably a little bit more typical of SaaS providers. And so we're cutting our teeth on that to be candid, but we're getting the hang of it. And we are seeing some uptake from developers and from started digitally native service providers. And we're also seeing some pretty big opportunities in our funnel about more traditional service providers or large enterprises looking to reduce the pain of managing the technology life cycle and metal really helps with that. So we'll probably talk more about that at the Analyst Day as well. But goes continue to feel good about the underlying drivers of that business and kind of why we did that acquisition in the first place.
Simon Flannery: Thanks a lot. 
Operator: Our next caller is David Barden with Bank of America. You may go ahead. 
David Barden: Hi guys. Thanks so much for taking the questions. I guess, Keith, I just want to make sure we all have the right jumping off point. So thank you for the waterfall for the 2Q EBITDA guide. And I just wanted to understand the combination of forces of the kind of impact of the roll-off of the hedges and you kind of increased usage as they kind of merge together to kind of create this $43 million kind of move down at the midpoint? And then assuming that that's the right jumping off point that these hedges are the right levels for the rest of the year. It implies about a $14 million sequential EBITDA growth in 3Q and 4Q to get to the midpoint of the full year guide. Could you talk a little bit about what the drivers of that will look like? Is it going to be kind of a steady cost structure with pretty much volume and price being the drivers of the margin? Any color there would be super helpful. Thank you. 
Keith Taylor: Sure. Well. Thanks, David, and thanks for – laying over there. And I think, first, if you start on the red line and you look at sort of the quarter-over-quarter movement, the first thing you notice is that it is not an overly substantial increase quarter-over-quarter coming off such a big number from Q1 relative to Q4 last quarter. But one of the things you'll appreciate and those hands was built into my comments in my script, nonrecurring revenue is moving around quite a bit. And right now, we're making the underlying assumption that it's not hitting in any specific quarter. And so what you're seeing is a meaningful step down in nonrecurring revenue between Q1 and Q2. So that's the first thing. And so you feel that in many different ways, but you certainly do feel it on the EBITDA line as well. The second thing is sort of attached to that is xScale we are – as Charles alluded to in his script, we sold out on complete asset in Frankfurt, and we are very active in some – across all three regions of the world, and we anticipate a lot more xScale activity. And so you'll see that play itself out into the year or throughout the rest of the year. Right now, our MRR trends about 5% of revenue for the year. I think it's probably going to be roughly 5% of revenue. But the range is going to be somewhere between 4.2% and about 7% and between the next three quarters. And we don't know exactly where. So we haven't really guided as well as we maybe would want to given the set of circumstances. And then the last piece I'd just say, look, there's an element of conservatism built into our model here for obvious reasons. And again, we're trying to be very prudent about what we look at. We give you – we know what we did for the first quarter. We're running a little bit ahead. That was again, associated with xScale, the xScale fees. But as we look forward, we really just wanted to at this stage of the game, give you the FX and then continue to look at what's going on in the business. As it relates specifically to the power and the power costs, Again, no surprise. We've been very thoughtful about the power dynamics for this year and the power price increases. And we had to factor in and look exactly what was the cost going to be for the year, including when do the hedges roll off and when did some other start and what's going on. And in the regulatory – the regulated environment. And then there are some other markets that we are going to be putting price increases through effective on May 1, and that's Hong Kong and Tokyo. So looking at all of that, more specifically, our costs are going up. And so you're going to feel that throughout the rest of the year. It's baked into the guide already was baked into the original guide. So this isn't a shift and what you should see is really EBITDA profitability continued to increase throughout the rest of the year. So again, I think we've got a making of a really good plan here, but we're going to – we're sort of holding firm on what we hopefully shared with you when we started the year knowing that one other thing that's really working in our favor is currency. And again, we get a little bit of currency, but we're all sort of reading the same thing. If you look at what the U.S. dollar could do anywhere between now and the next 12 months, some are calling for a 5% depreciation, so we're calling as high as a 15% depreciation of the U.S. dollar and 60% of our revenues reside outside of the U.S. and you don't have to go very far to figure out what is the implication of that is 60% of our revenues move 5% or 15% before taking into consideration the hedges. You have a really substantial move on top line and on bottom line. And that drives a lot of value on a per share basis. So hopefully, that gives you sort of a full look at all the things we're thinking about and try to share with you. But at this point, we felt really comfortable just sort of holding firm on our guide and just give you a little bit of FX and some operating performance coming out of Q1.
Charles Meyers: Yes. Maybe Dave, a little bit of more color is that I think – I will tell you that we are also focused on every element of the business model. So if you look at the revenue line, say, P times Q, we feel very good about P, continue to feel good about Q and we're going to continue to work the heck out of that. I would say that at the next sort of a click down on cost of goods, we're continuing to drive efficiency sort of projects across the business to try to improve cost of goods and gross margin.  Then when you look down further, I also think just given the broader – we’re going to continue to be diligent on spent. We did spend – we opened up the wallet a bit to make sure we can add some more headcount, and we’re trying to bring them up productivity as quickly as possible. But you saw a flat SG&A spend quarter-over-quarter, and we’re going to continue to be very disciplined about that as well. And so, we’re going to work every element of the model and continue to do what we need to do to try to deliver the long-term performance.
David Barden: Thank you both so much. It’s really great.
Operator: Our next caller is Michael Elias with TD Cowen. You may go ahead.
Michael Elias: Great. Thanks for taking the questions. Just first you talked about organic and inorganic opportunities. Just wondering if you could give us a sense of the markets that you’re prioritizing or perhaps regions that you’re prioritizing from that perspective. And then also, there were some press reports out earlier today suggesting that Equinix is exploring the sale of Hong Kong data center assets. Maybe without commenting on that specifically, just at a high level, do you view capital recycling this year as a likely option? Thanks.
Charles Meyers: Yes. Why don’t we – I’ll take the first one and then Keith can comment on the second one there relative to Hong Kong. But on M&A as I said, I do think there’s opportunities for us. We’ve talked about where some of those markets might be. I think Southeast Asia is going to continue to be an area of opportunity, we believe over time. And there’s several key markets there that I think we’ve got our eyes on. We’ve actually done a couple of organic projects already in Indonesia and Malaysia, and we’re going to continue to stay sort of eyes very wide open in terms of opportunities for us in that area. India, we’ve announced a new build in Chennai, but I do think there’s a lot of opportunity in India, and I think that could be a combination over time of organic and inorganic. And I think that we also I think one of the things that we have not done a lot of, or we haven’t done any of it yet, but I think that could be on radar, is thinking about opportunities from an xScale perspective in partnership with our partners. All of those probably represent some level of opportunity for us M&A and I think as we look at some of the dynamics and opportunities in the market, including AI. I think that could be those could be all very relevant for us. So that’s the first question, and then I’ll let – I’ll kick it over to Keith and he can talk a bit about the – this capital recycling question.
Keith Taylor: Yes. And thanks Charles. So Michael, I’ll say a few things. First and foremost, we typically are not a recycler of assets. I think you have to step back and we’ve said this, actually one of the analyst stay, I think it was, might have been the last one, where’re basically we’re a platform and all assets are very important to the platform. And in particular, Hong Kong is a very important asset to us and something that is important to our platform. So we don’t think about the business as selling assets, but we do also – we do think about ways – innovative ways to allow us to scale and grow the business. And an example of that is our Jakarta business, where we recently entered into our partnership with a large conglomerate so that we go into that market in tandem. And it just, it’s a – it is an innovative – sorry, innovative way to actually to raise capital. And so overall, we’re not in the business of selling assets. But we’re always looking across our portfolio and trying to figure out how to optimize the capital structure. And I think that sort of best reflects our view that the platform, the Equinix platform is critically important to all the different assets that we have in our portfolio.
Michael Elias: Great. Thanks for the color.
Operator: And our next caller is Michael Rollins with Citi. You may go ahead.
Michael Rollins: Thanks. Hi. Couple questions. First, and I realize it’s still somewhat early in the year, but as you’re looking forward and trying to manage power costs, what’s your sense of where these power price increases or maybe future decreases are heading from what you see across the market portfolio for 2024? And then just secondly, as we take a step back and the market tries to contemplate the forward growth opportunity for Equinix, is it helpful to consider the company’s position on three vectors, the percentage coverage of core global markets, the percent penetration of key customer cohorts, and where the wallet level is, especially when you break out past the top 50 customers? And is that something that you can give us a bit of an update on today?
Charles Meyers: Sure. I’ll start and Keith going to jump in here. But obviously very hard for us to predict anything on power. I would say that I would expect in general, more volatility rather than less, right? We – I think we’re living in a volatile world. I think there’s a lot of still dynamics at play in terms that could impact power pricing broadly speaking. And now the good news is that I think that again, we’ve – this opportunity for us over the last almost year to really educate our customers about how we go about energy procurement and what it means and how it dampens volatility and why that’s good for them and why it gives them budget predictability, et cetera are all things that I think have been really good for us. Obviously, you look at in sort of deregulated markets where we can hedge, we’re going to dampen that volatility out. And so and again, we don’t know, there definitely have been markets that have come down in price over the last several months but recognize that customers were enjoying a very different price point than what with the spot was at in sort of the latter part of 2022 and early 2023. And so they were really that was a huge benefit to them. And now some markets have moderated substantially and some people predicted they will continue to moderate further. But I think others predict, particularly in Europe, that unless we get some sort of resolution to the conflict in Ukraine that we likely have more volatility. And even I think that the fact that an energy transformation is underway in Europe under any circumstance that is going to be decade long, multi-decade long in nature, I’d expect more volatility rather than less. And I think our approach to the market and how we’ve approached hedging, et cetera provides real benefits. So we’ll continue to sort of monitor that. I do think in some cases we’re seeing some benefits in terms of power prices being a little lower than we expected in some places. We are going to have some of the hedges roll off in Q2 and we talked about that in the script. So you’re going to see some elevation there. And so, that shouldn’t be a surprise in the next quarter. But I definitely think it’s going to continue to be a volatile overall market. Before I go to the other question, you wanted to add anything on power?
Keith Taylor: The only other thing I would add Michael to Charles’ comments, the other aspect of it is operationally we are highly focused on running the business more efficiently. We’re very renewable and sustainable – sustainability focused and as a business, we want to continue to make sure we drive down the overall cost of the business. And so that’s going to be an important aspect on a go forward basis. And Charles also made the comments in his prepared remarks around PPAs and our desire to go into contractual arrangement with whether it’s wind or solar developers and create capacity for the market. And we see that as a bigger part of our business going forward as well. I think it sort of, it tamps down some of the volatility because it is predictable over an extended period of time at least those arrangements are. But overall, it’s the combination of all those things and our commitment to a 100% renewable just as that’s a critical aspect of our energy strategy as well.
Charles Meyers: Yeah. And then Mike on the other one, I think I don’t want to steal any of my thunder for Analyst Day, but I would say that I think, we’ve always talked about multiple revenue or multiple growth drivers and levers in our business. Geographic expansion is one of those. So covering more markets, what’s a core market that evolves and changes over time. Obviously, we continue to get a huge chunk of our bookings and profits from these sort of scaled markets. But what you see is markets start to break into that group, and they mature to a certain level. And I think we’re going to continue to see that dynamic. The nature of distributed infrastructure continues to drive that. And so you’re seeing hyperscalers expand their edge or their presence. They’re both their edge and their core. And we want to be a partner to them in that. And so I think you’ll expect us, you should expect us to see continued investment to align with that. And where the digital edge is continuing to evolve. But I do think, our commitment is to continue to be that best manifestation. And so I think we’re going to continue to see geographic expansion as a driver. And then in terms of wallet share, I think it’s one, we are – we’re sort of a – we’re an underlying provider to these companies as they scale their infrastructure. And I think that is allowing us to play in a very significant way. But then, also capturing net new markets. I think if you look at service providers, for example, the number of service providers and the life cycle from a small service provider to a scaled service provider is changing in this sort of more cloud-centric world. And so I think we’re going to continue to have opportunities against both new market expansion, product line extension and new customer growth. All of those things I think are going to be drivers growth for us over time.
Michael Rollins: Thanks.
Operator: And our next caller is Brett Feldman with Goldman Sachs. You may go ahead.
Brett Feldman: Thanks for taking the question. Yes, thanks for taking the question. So, Keith, it was good to hear in your comments, your expectation that you’re going to continue to see full year churn towards the low end of the range that you’ve targeted. I think to a casual observer that would sound very surprising, right? Because it’s a sort of a broadly difficult macro environment. We talked here about slow down and spending on cloud and obviously you pushed through some pretty significant price increases recently. And so I was hoping you can maybe elaborate on what gives you confidence that you’re going to continue to see low churn and then just maybe remind us when you do see churn, what is driving it and has that shifted at all from what you’ve historically seen? Thanks.
Keith Taylor: Yes. I think, first and foremost, it’s a great question. And our confidence really comes from the fact that the team does a deep analysis into our customers. I know surprise to you, when you look at our top 10 customers, again, it’s on the charts, but top 10 customers represent about 18% of our revenues. The top 50 represent about 37%, 38% of our revenues. We have a really long tail. And so we have great visibility into – particularly into our larger customers and what they’re doing. So that’s the first thing. The second thing is it’s critical infrastructure. And it’s not to suggest that companies don’t struggle financially or there’s consolidation or they choose to bifurcate their infrastructure choose or even just choose to do something completely different. But overall, when the majority of our growth comes from the install base and we’re continuing to deliver very high quality assets with a very high operational standard around the world, we just tend not to suffer the same level of churn that we had previously. And from my point of view, it’s the deep analysis of the team’s done and the visibility into what we see going forward that gives us confidence that we’re not going to see any meaningful churn beyond what we’ve guided to. And Brett, the other – last thing I would just say that if we there’s visibility to something that comes in size, we’re going to telegraph it anyway. But there’s just no indication that exists. And it goes back to what is the customer fundamentally doing inside our business and can the grow and scale? And that’s what we’re seeing is those customers continue to buy more services, enter into new services, and then as we introduce new service offerings, I think it’s just an enhancement or even a limiter to the amount of churn that we’re going to experience as a company, because we provide alternatives. So we’re not a one trick pony. So that would give, that sort of, gives you I guess, the overall sense then. Let me leave it there.
Brett Feldman: Okay. Thank you.
Keith Taylor: Charles, would you add anything?
Charles Meyers: No, I mean, I think, in terms of character of the churn, I think there’s a certain amount of ours that is more frictional churn associated with people evolving their footprints, how they’re serving in customers. That’s particularly true in network providers and some other service provider types. I think that, I think you are seeing, you are going to continue to see some level of cloud migration workloads that are well adapted to the cloud ought to go there. I always – I keep sort of reiterating that, and so I think we see some level of that, but more typical – most typically that is in the context of sort of an evolution towards a long-term hybrid multi-cloud architecture state that really plays to our strengths. And the last comment I would make is that we keep, we always say this regard to churn, the best defense against churn is getting the right opportunities to begin with. And so sales discipline and executing as I’ve talked about earlier and in the script, that’s really central to sort of maintaining that churn. And I think our teams have done a great job on that. And interestingly, I guess the last category I’d give you when we do M&A, you find that there’s often sort of a churn tale that comes from that because people underwrite to a different sort of an approach. And so, you saw that in Verizon and you look at – we now are reaping the other side of that as we’ve sort of managed through that. And I’ll tell you that transaction is looking super attractive, right? And so I think you see some of that comes on the back end of M&A transactions that’s a sort of a third category.
Charles Meyers: Thank you, everyone. This concludes our Q1 earnings call.